Operator: Good afternoon, ladies and gentlemen, and welcome to the AIXTRON SE results of the first half 2021. At this time, all participants have been placed on a listen-only mode. The floor will be open for questions following the presentation. Let me now turn the floor over to your host, Guido Pickert. Please go ahead.
Guido Pickert: Thank you, operator. Welcome to AIXTRON's presentation of our Q2 and first half 2021 results. I'd like to welcome our CEO, Felix Grawert; as well as our new CFO, Dr. Christian Danninger. Have a good start, Christian. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcast without permission. Your participation in this call implies your consent for this recording. Please take note of our safe harbor statement which can be found on Page 2 of our results presentation slide deck as it applies throughout the conference call. This call is not being presented immediately via webcast or any other medium. However, we will place an audio file of the recording or a transcript on our website at some point after the call. I would now like to hand you over to Felix Grawert for opening remarks. Felix?
Felix Grawert: Thank you, Guido. Let me now welcome you to our second quarter 2021 results call. I will start with an overview of the highlights in the quarter and then hand over to Christian for more details on our Q2 2021 figure. Finally, I will give you an update on the development of our business as well as our guidance for the year. Let me start by giving you an overview of the key developments in Q2 on Slide 2. During the second quarter 2021, we continued to note a strong order momentum throughout all our business, but in particular in GaN power and LED and in [Technical Difficulty].
Operator: The conference is now being recorded.
Felix Grawert: …with the highest quarterly revenue of 2021. The current level of customer inquiries gives us good indication that orders will also remain very strong in the coming quarter. We, therefore, have increased our guidance for order intake once again from €420 million to €460 million to now between €440 million and €480 million. In Q2 we have fully implemented the structural changes of our OLED subsidiary APEVA, as announced in our last earnings call. That is we have closed the operation of APEVA Korea and reduced the team size in APEVA to a smaller size. This move enables us to focus the APEVA activity on the differentiated key components for the Chinese market, preserving the upside of this technology. At the same time, the running cost to operate APEVA has been significantly reduced to a low-single-digit million amount until a customer project start. Including one-off charges, we will keep the overall cost for OLED in 2021 within the high-single-digit million range that we have previously mentioned. Now, let me give you a quick update on the COVID-19 situation at AIXTRON. Our strong internal safety measures continue to prove effective in mitigating the risk of infection within our premises. We have offered the first vaccination to all interested employees at our premises in Germany and continue to offer a regular testing twice a week, resulting through the execution of more than 1,200 COVID tests, all of which have been a negative result. From July onwards, many of our employees are back to the office. At the present COVID level, we target an occupancy rate of about 50%. And we get feedback from many of our people that the personnel face-to-face interaction always adhering to strict safety standards is much appreciated as it brings energy and spirit back to the company. We continue to operate all functions of our business without any significant effect related to COVID-19. Also, our supply chain continues to be stable delivering on the pre-ordered component as agreed. However, we will continue to watch development of the global pandemic very carefully and we remain to be ready to take further measure if necessary. Now, I will be handing over to my new colleague Dr. Christian Danninger, who took up his position as Chief Financial Officer of AIXTRON in May of this year. He will take you through the financials of Q2 and Half 1. Christian?
Christian Danninger: Thanks, Felix, and hello to everyone. Let me please quickly introduce myself, as this is my first quarterly earnings call for AIXTRON. I joined AIXTRON on May 1, and have used my time here to get familiar with our business and its financials. Due to Investor Relations being part of my responsibilities, I'm looking forward to soon be communicating with many of you on a regular basis. I was born in Austria in 1979. My wife, our 3 children and I live in Cologne. I studied Business Administration in Linz, Austria, and the USA, and doing the Doctorate in Law. Among other roles, I was responsible, I was the Regional CFO in the Austrian ENGEL Group. Before joining AIXTRON, I was CFO of the Putzmeister Group. I look forward to playing my part in ensuring that we continue to shape the future. And in doing so, successfully realize our potential growth opportunities in our addressed markets. But now back to our financial results of the second quarter of 2021. Starting on Slide 3, our income statement. As expected, total revenue for the quarter was €68 million compared with €56 million in quarter 2 of 2020. Gross margin of 41% this quarter was 1 percentage point higher than the 40% in the same quarter last year. The difference is mainly due to the higher share of products with better margins in Q2 of 2021. Operating expenses in the quarter increased from €20 million in Q2 2020 to €22 million in Q2 2021. [Technical Difficulty]
Operator: The conference is now being recorded.
Christian Danninger: …to a shorter remaining maturity of the respective financial instruments. Moving to Slide 5, it shows our cash flow statement. We generated free cash flow of €18 million in the quarter, primarily reflecting our current profitability and an overall reduction in working capital, which includes i.e., and increase in customer deposits of €22 million and an increase in inventories for future shipments of €28 million. With that, let me hand you back over to Felix.
Felix Grawert: Thank you, Christian. I would like to give you an update on the key developments in our addressed markets before concluding with the outlook for the rest of the year. As mentioned at the beginning, we continue to see strong momentum from all our end markets, but in particular, for systems for the production of gallium nitride power electronics. Most of our customers from that space have made the decision to adopt GaN power electronics on a broad basis, resulting in substantial capacity investment throughout the industry from foundries to integrated device manufacturer. Several customers have now placed volume orders in the range of 5 to 52 in size. In the end market, we are already seeing a strong expansion of products we offer based on GaN technology. They range from high performing charger for portable consumer electronics to energy efficient power supplies of data centers and telecom base stations, just to name 2 prominent applications. In the area of systems for the production of silicon carbide power electronics, we've made further technical progress on the [Cooper front] [ph]. In addition to that we have received repeat orders from some customers for our 6-inch silicon carbide solution and we've been able to win additional customers. Given all that, we expect to benefit from the volume [indiscernible] of some large industry players. We see these developments in power electronics as only the start of a broader substitution wave of silicon power electronics by wide fintech materials, GaN and SiC. This is the beginning of a multiyear growth opportunity for us. In our optoelectronics business, we have recorded strong demand from the optical data communications market in Q2. The global build-out of optical data communication networks continued in order to serve the massively growing data volumes. We expect this momentum to continue throughout 2021 and also in 2022. On the 3D sensing side, we see some moderate demand in 2021, driven by individual tool orders from customers. We expect larger order momentum in this area once the rollout of VCSELs for the world side of smartphone bookings. This is in preparation today, but it may take 1 to 2 more years as the killer application for that functionality is missing as of today. Finally, we have recorded some large orders in the area of red-orange-yellow mini LED, which are used, for example, in fine pitch LED display. Our customers are continually expanding their capacity at scale. On the other hand, micro LED display technologies are still in the R&D phase. We expect significant volume in this area from 2023 onwards with 2022 as a precision here with further R&D activities and some pilot line buildup. We are happy to be in such a positive environment with strong demand momentum from our addressed market. With that, let me move to our guidance on Slide 6. In June, we have issued a trading statement in which we increased our annual guidance. Due to the very positive order development, we increased our annual guidance on orders again from between €420 million and €460 million previously to a new range of €440 million to €480 million. Revenues are expected to be between €400 million and €440 million with an EBIT margin between 20% and 22% of revenue. We expect our gross margin to be around 40% of revenues. Out of the €295 million backlog, we expect to turn about €235 million into 2021 revenues. Taking first half of the year revenues of €117 million and the assumed after sales business of about €30 million into account, we still need about a further €20 million to €60 million of order to be converted into revenues to reach the expected revenue range. In summary, we are looking forward to significant growth of 2021 revenue and EBIT quarter to quarter within this year as well as compared to the previous year. With that, I will pass it back to Guido, before we take questions.
Guido Pickert: Thank you, Felix. Thank you, Christian. Operator, we will now take questions please.
Operator: Gladly. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] And the first question comes from Janardan Menon from Liberum. Your line is open, please.
Janardan Menon: Hi, good morning, or rather good afternoon. And thanks for taking the question. My first question is on the GaN power market, which clearly is doing extremely well for you right now. And there's a lot of demand out there. But I'm just trying to get a comment on how you see this market evolving. Is it likely to be reasonably smooth? Are people, are your customers going a little bit ahead of themselves and ordering too much this year, especially when you say that customers are ordering, between 5 and 52 - the high-end of that seems quite high? So what I'm trying to get at is will we see some digestion into 2022? Or do you think we're still at a very early stage of the evolution of this technology, and so it will continue to be quite linear for some time to come? And even if we do get some kind of a sort of digestion phase in 2022, I just want to know what your views are on silicon carbide, especially your comment that you would expect to benefit from the ramp of some major industry players. Is there a timing for that? Is that likely to come through by 2022 overlapping further? And then, I have a very brief follow-up. Thank you.
Felix Grawert: Thank you very much for the questions, Janardan. Let me take the GaN power question first, so the question about the digestion phase or continued order momentum. I think that very well, I think it's clear, I think we have a view on the market that we all share right at the starting point with the quick charger and the fast charging and other applications have been opened and being added. Of course, we do not look into the detailed order books of our customers, what orders they get from their customer. But what we do see from the market is that gallium nitride power electronics is currently experiencing a very broad adoption in the market. The quick charger for mobile devices was the first market. Now, other applications in the high power domain, which are efficiency-driven are being added, data centers, the telecom base station. I clearly would expect that that is a multiyear trend. Because we all see that the desire to go green and to go energy efficient, is not only driven by a few companies, we see it across the European Union, say the Green Deal. We see it now by the Biden administration, right? We all see that all the big Silicon Valley players with a data center want to go zero emission, so very sure that that's going to take a strong momentum. And furthermore, we do see that our customers are working on opening up additional applications, be it on GaN ICs, integrated circuit based on gallium nitride for power, power electronics devices or be it a low voltage devices. That being said, very clearly, the adoption of GaN power is at the beginning. And I expect a multiyear trend here. Now, how exactly that translates into orders on a quarter-to-quarter basis, that of course, I cannot tell you. I can only give you the big picture, that I would like to say on GaN. On silicon carbide, I took your question, a bit related to timing of potential order momentum. Also here, it's always difficult to predict exactly on a quarter-to-quarter or half-year-on-half-year basis, when exactly customers are playing order. So I look rather on the big picture of the market. And here, we very clearly see that we all know that silicon carbide experiences the biggest order momentum from automotive application be it charging or be it onboard charger on the car or be it the [maintenance] [ph] charger. And we do see that a large number of EV models are going to be launched in 2023 and in 2024, and with the usual lead-time of about 9 months or so. Our customers will need to get the tools up and running qualified and their lines established. When exactly that translates into orders for us or orders placed to AIXTRON? Once again on a quarterly or half year basis, I would not be able to tell you.
Janardan Menon: Okay, but you have confidence that you will benefit from the ramp of some major industry players outside of your historical large customer? Yeah.
Felix Grawert: Yeah.
Janardan Menon: And then, my follow-up is just 2 if I can. One is on silicon carbide systems again. Where are you on 8-inch silicon carbide systems. And then a brief follow-up on tax rate is you have these tax benefits that you brought forward. If you maintain this sort of profitability, what should we be modeling as an effective tax rate for you over this year or next year?
Felix Grawert: So 8-inch wafers, in reasonable quantity and with good process results are running in our [Allenin] [ph] lab, to your first question. And the second question, I pass to Christian.
Christian Danninger: Thanks. To take that question, first time for me. But I would recommend to you as we do for our internal budgeting, to use a 15% tax rate, that is not taking into account swings that result out of adjustments on deferred tax assets.
Janardan Menon: Understood. And just on the silicon carbide side, when do you think it will move into commercial volume, of commercially available your 8-inch system?
Felix Grawert: We are shipping first volume system in the first half of 2022.
Janardan Menon: Understood. Thank you very much.
Operator: The next question comes from Uwe Schupp from Deutsche Bank. Over to you.
Uwe Schupp: Yes. Good afternoon, gentlemen. I've got 2 questions, please. Firstly, on the supply chain, and secondly, also on the silicon carbide competitive front, if I may. So firstly, on the supply chain, can you just comment generally speaking on what you're seeing out there with regard to lead times, given that the constraints that I think we can hear and read about every day in the newspaper, so how have lead-times developed lately? And in terms of, maybe in relation to that, can you also talk about whether certain customers have tried to make sure that they absolutely get the machine in time? In other words, do you think that you have seen double ordering here, here and there, or even on a broader basis? And then, secondly, on the silicon carbide and really related to Janardan's question, I think we've heard now from several competitors, that your main competitor on silicon carbide may have issues on the 8-inch tool. Is that something that you've heard as well? And that you would comment on? Probably no is the answer if I may. But let me put it in a positive way, do you see a certain chance for you to get a kickstart as this market gets in bigger volume next year? Thank you.
Felix Grawert: Thank you very much, Uwe, on those questions. So let me first comment on the supply chain question. So with respect to constraints, returns along our own supply chain and then potential double ordering of our customers, yeah? So we have been preparing very well our own supply chain with respect to order volume in 2021 and also in 2022. And because, we have taken precautions and we have taken action with an active act from us, so the proactive activities that we have started. Due to that fact, we are able to say, well set, so to say, to secure all the volumes for 2021 and also going into 2022. Yeah. So we have been proactively taking that and due to the productivity, we now really benefit from that, yeah. The counter side of that is we have been able to communicate to our customers all the time, yes, we are able to ship, and yes, we are able to ship at reasonable lead time. And due to the fact that we have been able to dispatch messages to customers, I was just 2 days ago on the phone with a very large North American customer, who also said well, we see with other equipment vendors return doubling towards 12 months or 12 to 15 months, is that we're not from AIXTRON, we are well prepared to give us the order will be needed. And so, therefore, I would, I mean, you never know exactly when it's a double ordering, yeah, but I would rather and also given the messages that we give to customers. And I would not assume that there is double ordering, I would rather assume it's ordering based on the demand that customers have, yeah. Again, this is my own assessment, but I've given you the logic and the reasoning how we come to that in which perspective on which context I give that to you. Now, let me come to the question on the silicon carbide. I would not want to comment on the performance of the wafer transition of the competitor, yeah, there's always competition in the market and it's always important to take the competitors very serious, but very clear. Our aspiration is, our equipment is capable of doing both 6-inch and 8-inch wafer size that allows our customers to buy our equipment now use it initially for 6-inch, which is today the dominant wafer size in the ramp up of silicon carbide, and then later on convert the equipment to 8-inch it's the customer, for example, decides to switch align as 8-inch wafer become available. We all are aware that today availability is limited, and therefore, we very much expect and target to benefit actually from the wafer size transition to 8-inch.
Uwe Schupp: That's very clear. Thank you, Felix. If I could have a follow-up, please. In previous upturns over the last 15 or 20 years, that was - you met frequently use of the good market environment and adjusted your pricing accordingly. I was just wondering, whether on a year-over-year basis, or last 2 years, you've done this again, and adjusted your price is not only to reflect the rising raw material price input costs.
Felix Grawert: So, I think, we need to find good time to adjust prices, meaning at point when we have made an improvement on our equipment, or deliver an additional performance, such that - such a price increase can very well be justified in front of the customer, yeah, rather than just saying you get the same piece of equipment with the same piece of performance, but now a little more expensive, yeah. This is not the strategy that we are pursuing. So we rather than just across the board, raising prices, and link price increases to performance improvement, performance gains, and generation changes of tools, which I think you all are very well aware is what we are actively driving across our portfolio. So yes, there is opportunity to that, but not just across the board, but on a very well linked also to a customer benefit.
Uwe Schupp: That's very clear. Thank you very much, Felix.
Operator: We have another question from Oliver Wojahn from AlsterResearch. Your line is open, please.
Oliver Wojahn: Yes, thank you for taking my question. Can you hear me?
Felix Grawert: Very well.
Oliver Wojahn: Okay. Very good. I had 2 questions, if I may. So the first one is the follow-up on the order book, so compared to the end of last year, the order book more or less has doubled in size, the order backlog. And at the same time, prepayments increased like 2.5 times. So the question there would be, is it that you're taking higher prepayments on each system? Or maybe not showing all of the orders you have collected prepayments on the order book, because of execution risks?
Felix Grawert: Thank you. It's a very good question. And so the prepayment or the ratio of prepayment to order book fluctuate is simply given due to the fact that we do not have the exact same policies with all customers, but there's a certain range. So like also on prices or margins, you have a certain product mix, yeah, or mix behavior, there is mixed effects on the payment behavior. In the mix, there's different regional habit, for example, different habits by some large key accounts, and so on. So it's rather a - so to say, a random or like a mix effect, yeah, from regions, from customers, leading to that one, then a systematic effect out of which you could read a systematic pattern or something like that.
Oliver Wojahn: Okay, fair enough. Second question is on your margin guidance as understanding the gross margin guidance of 40% was based on an exchange rate of US$1.25 to euro. Now, we've been around US$1.17, US$1.18 for a while. So if we would extrapolate that into the rest of the year, would that mean that you would consider upgrading the gross margin guidance?
Felix Grawert: So we will definitely stay with our guidance throughout the year at the ex-rate of US$125, yeah. This is we have fixed that rate for the year and it's, so to say, our annual, we call it, budget rate, yeah. So we will stay on that one. So we will not change the guidance throughout the year. And nevertheless is, of course, what we would very much appreciate. The euro-dollar exchange rate comes in favorable for us, we will recognize positive effect out of that one. Christian, do you maybe know how large these effects could be?
Christian Danninger: Right now, we - as we said, we're planning before US$125, we're expecting to give you an approximate number of US$120 million additional sales in U.S. dollars that we have factored in with US$1.25 rate. So you can do your calculation based on your expectation with the exchange rate will be. The positive thing is that the overall exposure to the U.S. dollar has been consistently going down with shift, depending on customers, but also an increase the proportion of revenue was coming from Europe. And it is also limiting the exposure.
Oliver Wojahn: Okay. That was very clear. Thank you.
Operator: The next question comes from Andrew Gardiner from Barclays. The line is yours.
Andrew Gardiner: Good afternoon, gentlemen. Thanks for taking the question. I just had one in terms of the perhaps medium-term outlook and how you're planning for capacity, Felix, the guidance that you've now given us for the second half of the year, as you pointed out this quarter-on-quarter increase in shipments and revenue in the third quarter and again in the fourth quarter, and quite a steep trajectory of that could be perhaps around €200 million or so of revenue in the fourth quarter. How are you then thinking about planning for 2022? You've already told us in the Q&A that you've got your supply chain, ready for that you've got the parts committed. In terms of your own site, what - do you - are you really stretched at that €200 million, or thereabouts in the fourth quarter? Do you need to add more capacity to make it a bit more comfortable in terms of meeting these larger volumes? Just a bit more insight as to what the latest order surge means for your planning in 2022 and beyond?
Felix Grawert: Yeah, thank you very much. And, I think, you capture the situation quite well, yeah. So we will definitely see the largest outputs in systems and then, of course, in revenues in euros in the fourth quarter, as we've indicated and as you quote. And also, very clear, I think we just need to do the math, yeah, is we still - we have a nice - or we have an excellent and a big order backlog, yeah. A big part of that we will work down and a small part of it goes into next year. And, of course, we just have raised slightly our order intake guidance for the second half of 2021, which then of course with our typical lead times of 6, 7, 8 months. And again, we stay as we discuss supply chain wise on the same average is that we had in the past, yeah. So we will ship a big part of that, what we are now taking is order intake in the second half of 2021. We will ship as revenue in the first half of 2022. This is just clear. This is our normal period. So we will have good start revenue wise in the year 2022. And so capacity-wise coming to your question, we fortunately have a very flexible production model, yeah, which allows us to adopt such high volume. And concretely, let me give you 2 facts here, we have out of the current facilities that we as AIXTRON have in the past many years, yeah, many years back, shipped already a total of 450 units. So that, of course, was a really big peak with a lot of effort, but no such quantities have been shipped out of our facility. And already now in the fourth quarter of this year, we take one additional measure, which is we have activated a remote shop floor. So some part of pre-assemblies which take time, by taking time occupied shop floor space, we put that on a remote shop floor just some assemblies, some modules, you could say are being assembled there, which means then that the big systems, as you all know it from photos, yeah, it's big, I'll say like a school bus, yeah. They need a couple of weeks less standing on the shop floor in our facility. And that means more systems in the quarter so to say can be finished and being shipped, yeah. So you get the idea how with very little add-on measures, or flexible add-on measures, we can, so to say, vary and extend our capacity. And then the fourth quarter we do that and it works quite nice.
Andrew Gardiner: Thank you, Felix. I had just a quick follow-up related to the same topic. I mean, now that some of the customers are giving you particularly large orders, as you mentioned in the GaN area. They - I know you - as you said it, right, your normal lead times 6 to 8 months. But are they giving you longer visibility's and that given the - they are planning for significant high volume ramps themselves and are going to need consistent tool deliveries, even if it's not committed orders per se, are you getting better visibility into the long-term plan of your customers?
Felix Grawert: Yes. You indicate with your question, 2 very good points. Is it such a large orders, and very often we stretch them so that not all, let's say, you mentioned the example of 10 systems, not all 10 are shipped, let's say within a month, because of course, our customer themselves cannot digest 10 systems to be installed in the factory, and then without people being ramped up and put into volume, right? So it's rather than spread over a certain period of time that, let's say, whatever one quarter or so, yeah. But step by step, every week or every 2 weeks, a certain number of units leaves the factory, go to the customer and start here, yeah, simply from operational standpoint at the side of our customer also. And, I guess, some of our customers to give us a longer-term visibility, however, other customers continue to surprise us with how sudden they make a decision to order a large quantity. Let me put it that way. So in other words, we can out of that not derive a certain pattern or not derive certain visibility, beyond the 6 months that we typically give as an indication.
Andrew Gardiner: Okay, understood. Thank you.
Operator: And we have a last question, which comes from David O'Connor from Exane BNP Paribas. Your line is open, please.
David O'Connor: Great. Good afternoon and thanks for taking my question. Felix, I'm just curious, given the broad-based strength you talk about across the business. I was just wondering why the order intake for the second half is going to 25% below the first half? Maybe can you give us some of the puts and takes around that? Or maybe even if there was only pull-forwards in the order intake into the first half, given the tight supply chain across the industry? And I have a follow-up, thanks.
Felix Grawert: Yeah, thank you. Very good question. So as said, we typically have a visibility into - for 6 months forward, so we have a good visibility now for the Q3. Yeah, for the Q4 it's a moderate visibility. Based on these data points, and this is the estimate, yeah, I think you've done the math, yeah. If you added up to the high point of our guidance, is now coming to 480 is the high point of the guidance for order intake, 260 is shipped meaning, another 220 to go, right, on average 110 per quarter, which is a little below the first half. We believe the first half was characterized by some very large volume order. There could be some in the second half, maybe, maybe not. We don't know it yet. However, we would not expect that these volume peak orders that we've seen that also surprised us in the second quarter, hence the trading statement. We do not expect that such a sector reoccurs in the second half. And that's the reason why we have given the guidance. This is what we currently see in terms of the volume. And still, we believe that it's a very good volume. And we are here on a long-term trend.
David O'Connor: Okay, got it. Understood. Thanks for that. And maybe just within that order, very strong order intake, was there any pull-ins there by customers? I mean, we did hear about pull-ins from other 2 vendors. So just wondering if we experience a similar factor in the Q2 order intake?
Felix Grawert: So we have not seen effect that orders that has been placed to us have now been moved forward by a quarter as in order, that effect we have not seen, yeah, if that is what you mean as a pull-in. Nevertheless, we have seen that some customers have placed orders with us and asked us for a very short selected - some and selected customers have asked us for very short lead-time, simply saying at AIXTRON, “We have been surprised by end-customer demand our sales, we have an aspiration to increase our volumes faster than we initially had planned, so could you do us a favor and ship the equipment not within 6 to 8 months, but, let's say, rather 3 to 4 months?” Yeah, in some selected cases. And in not all cases, but in in quite some cases, we have been able to make that possible, which, of course, then really support our customers and it's our desire to really support them in such a manner.
David O'Connor: Okay, got it. Thanks for that. That's helpful. And maybe if I could squeeze in one last question. Just on the backlog, close to the previous LED peak, can you just maybe give us a split of that backlog across the end-application, LED, after telecom and power, just to give us a sense of kind of where the percentage of the backlog, where it lies from an application standpoint. Thank you.
Felix Grawert: I must admit that I don't have data on the exact backlog split. But I think the backlogs that we see is probably strongly correlated to the order intake of the first half. And I have that split here in front of me, yeah. And that is to a very large part, a little less than half of it is power electronics, GaN and SiC. Then I think around 20% is on the LED side, and I would say about 25%, 30% or so is on the telecom side. So very clear also, as we have written in the report, power electronics being number 1, telecom data come number 2, and LED being number 3.
David O'Connor: That's very helpful. Thank you.
Guido Pickert: Thank you very much. With this, we would like to conclude today's call. Thank you to all of you attending. Please note that our next earnings call will be on November 5, 2021, our Q3 2021 quarterly results. Thank you and bye-bye.